Operator: Hello, everyone, and thank you for joining the O-I Glass Second Quarter 2025 Earnings Conference Call. My name is Lucy, and I'll be coordinating your call today. [Operator Instructions] It is now my pleasure to hand over to your host, Chris Manuel, Vice President of Investor Relations, to begin. Please go ahead.
Christopher David Manuel: Thank you, Lucy, and welcome, everyone, to the O-I Glass Second Quarter 2025 Earnings Conference Call. Our discussion today will be led by Gordon Hardie, our CEO; and John Haudrich, our CFO. Following prepared remarks, we will host a Q&A session. Presentation materials for this earnings call are available on the company's website. Please review the safe harbor comments and disclosure of our use of non-GAAP financial measures included in those materials. Now I'd like to turn the call over to Gordon, who will start on Slide 3.
Gordon J. Hardie: Good morning, everyone, and thank you for your interest in O-I Glass. Today, we will walk you through our second quarter performance, key market dynamics and our outlook for the remainder of the year. Let me begin by expressing my thanks to all our colleagues across O-I. Your dedication, agility and focus are instrumental in driving the transformation we are undertaking. Last night, we reported second quarter adjusted earnings of $0.53 per share, exceeding our plans and outperforming the same period last year. This result reflects the meaningful progress we are making towards a leaner and more competitive company. We continue to navigate a complex environment, including softer consumer demand in certain markets and many macro uncertainties. While overall second quarter shipments declined approximately 3%, performance varied by region as volumes increased in the Americas but declined in Europe. On a year-to-date basis, shipments were up nearly 1%, and we continue to expect full year 2025 volumes will be stable with last year. Our Fit to Win program is delivering strong results. We achieved $84 million in savings this quarter, bringing our first half total to $145 million, well on track to meet or exceed our $250 million target for 2025. Fit to Win is foundational to renewed competitiveness by significantly reducing total enterprise costs to improve performance and enable future growth. We've had a strong start to the year in difficult market conditions and are effectively managing the factors within our control. As a result, we are raising our full year guidance and now expect adjusted earnings to increase between 60% and 90% compared to 2024. John will provide more detail on our outlook and quarterly performance shortly. As announced last evening, following a comprehensive review, we have made the financially prudent decision to halt further MAGMA development and operations. While the earlier stages developed meaningful technical advancements, we have concluded the platform does not have the pathway to the operational or financial return requirements as most recently detailed at our March Investor Day. Through our best at both operations strategy, as outlined at our I Day, we expect to drive significantly higher premium output at lower operating cost and capital intensity than MAGMA would have realized in the coming years. This decision aligns on our focus on driving competitiveness and the economic profit. Accordingly, we intend to reconfigure our Bowling Green facility into a best cost premium focused operation. We are confident this is the right path forward for our business, our customers and our shareholders. Let's now turn to Page 4 to review recent market trends. Overall, our shipments for the first half of 2025 were up nearly 1% compared to the prior year. Volumes increased mid-single digits in the first quarter, but declined approximately 3% in the second quarter. Lower glass shipments are consistent with softer consumer offtake, which is down low to mid-single digits in mainly European markets amid ongoing macroeconomic uncertainty. Unseasonal weather this spring and summer across the Northern Hemisphere further impacted consumption patterns. Finally, we have started to exit some business with unfavorable economic profit, consistent with our disciplined approach. Despite recent softness, we have also had some notable wins as we leverage Fit to Win to drive future profitable growth. Likewise, we have seen a 35% increase in our new product development pipeline as brand owners look to spur growth. As previously noted, we are navigating mixed market conditions. Second quarter shipments increased in the Americas but softened in Europe. In the Americas, shipments were up approximately 4% in both the second quarter and year-to-date, driven by solid rebound in beer and spirits categories. Notably, both Andean and North American regions outperformed the segment average with all geographies reporting positive growth despite continued soft consumption patterns, especially in the U.S. As we embed Fit to Win, we see our competitiveness improving in key markets, especially in North America. In Europe, volumes were down 3% year-to-date and down nearly 9% in the second quarter, which we attribute to the following factors: about 3 percentage points were due to a supplier-related delay at a major plant reconfiguration project in Europe, which is now ramping up well. We estimate another 3% of the decline was timing related as increased beer and widen sales in the first quarter, likely in response to trade policy uncertainty, negatively impacted Q2 shipments. And finally, the balance of the decline pertained to macroeconomic uncertainty and unfavorable weather conditions, which is in line or favorable to broader consumption trends. Despite these challenges, there were bright spots as nonalcoholic beverages and food categories posted low single-digit growth. To align supply with demand and manage inventory levels, temporary production curtailments remain in place across Europe with a continuing drag on our operating costs there. We remain engaged in consultations with European and local works councils on long- term network optimization initiatives aimed at addressing excess capacity in the fleet. These actions, when finalized, are expected to strengthen our competitive position and support sustainable profitable growth in Europe. In July, our global shipments were down mid-single digits compared to July of last year, reflecting continued soft conditions plus the rephasing of some specific customer order activity and the delayed ramp-up of a reconfiguration project at a European plant. We continue to expect full year 2025 volumes to be in line with the prior year as shipment levels are projected to be stable across both the Americas and Europe. This outlook holds despite some intra-quarter fluctuations, which are primarily driven by comparisons to prior year performance. Let's now turn to Page 5 and review the progress of our Fit to Win program, which is focused on significantly reducing total enterprise costs while optimizing our network and value chain to drive competitiveness and growth. In the second quarter, we delivered $84 million in savings, bringing our first half total to $145 million, surpassing our initial plans. With momentum building, we remain confident in achieving our 2025 savings target of at least $250 million and at least $650 million cumulatively by 2027. Phase A centers on reshaping our SG&A structure and initial network optimization actions, and we remain on track to meet both our 1-year and 3-year goals. We have completed actions to secure our $100 million SG&A savings target for 2025 with more opportunity underway to drive additional savings next year. Importantly, our network optimization efforts continue to progress, including the recently announced actions in the Americas. We continue to expect initial network optimization activities will be completed by mid-2026. Phase B focuses on transforming costs across the value chain, including the rollout of our total organization effectiveness program to optimize system-wide capacity. Following a successful pilot at the Toano plant, the first wave of 15 facilities is nearing completion of the same rigorous process. Results are meeting or exceeding our expectations. Additionally, our cost transformation team is making meaningful progress in procurement and energy reduction initiatives. These efforts are contributing significantly to our overall savings and enhancing operational resilience. We are making significant progress on the end-to-end value chain efficiencies with a number of significant agreements made with strategic suppliers to improve productivity and competitiveness over the next 3 years. In summary, momentum is building and initial Fit-to-Win benefits have exceeded our expectations. We are on track to meet or exceed our 2025 objectives and unlock further upside in the years ahead. Now I will turn it over to John, who will walk you through the second quarter performance and updated 2025 outlook, beginning on Page 6.
John A. Haudrich: Thanks, Gordon, and good morning, everyone. O-I reported second quarter adjusted earnings of $0.53 per share, exceeding both our expectations and prior year results. The performance was primarily driven by strong contributions from our Fit to Win program and improved competitiveness. As shown on the left, adjusted earnings surpassed last year's figures. We faced expected headwinds from lower net price, lower sales volumes and temporary production curtailments yet these factors were more than offset by substantial Fit to Win savings and favorable below-the-line items, including a moderately better-than-expected tax rate, supported by favorable regional earnings mix. Looking to the right, segment operating profit increased in the Americas but declined in Europe. In the Americas, segment operating profit improved significantly, reflecting notably lower cost due to Fit to Win benefits, higher shipments and fairly stable net price amid tight capacity utilization. In Europe, segment operating profit declined due to lower net price and softer sales volumes. Operating costs rose slightly due to the impact of ongoing production curtailments, but these were largely offset by Fit to Win savings. We expect performance in the region to improve progressively as our downtime decreases, network optimization actions deliver a better cost position and our cost competitiveness improves. As part of our focus on economic profit, we've made meaningful progress in reducing inventories across the enterprise, down approximately $160 million compared to the same period last year. We remain on track to meet or potentially beat our year-end 2025 target of fewer than 50 days of inventory supply. In summary, second quarter results exceeded both our plans and prior year levels, positioning us well for continued success through the rest of 2025. Now let's turn to Page 7 to review our business outlook. Given our strong year-to-date performance and momentum of the Fit to Win program, we have raised our full year 2025 guidance. We now expect adjusted earnings to range between $1.30 and $1.55 per share, representing a 60% to 90% improvement over fiscal year 2024. We also anticipate about a $300 million year-over-year improvement in free cash flow, driven by stronger operating results, reduced capital expenditures and lower inventories despite $140 million to $150 million in cash restructuring costs. Additionally, we've refined our expectations for the quarterly cadence of earnings throughout the year. As you can see, we expect the third quarter will be generally consistent with trends noted in the first half of the year. Fourth quarter will be softer due to the typical seasonality of our business and the tax impact of lower earnings levels. Please note that our outlook may not fully account for potential volatility stemming from evolving global trade policies and other external factors. For more details, please refer to the appendix, which outlines the assumptions behind our updated guidance. Despite a soft macro environment, we are executing well and our self-help efforts are exceeding original expectations. As such, we are increasing our full year earnings guidance. Now I'll turn it back to Gordon to conclude on Page 8.
Gordon J. Hardie: Thanks, John. In closing, O-I is executing well and delivered a strong first half of 2025. Despite mixed market conditions and sluggish demand, we remain sharply focused on what we can control and are making excellent progress on all self-help fronts. We expect a meaningful rebound in performance, adjusted earnings and cash flow this year and have increased our full year guidance accordingly. Executing Fit to Win and our long-term value creation road map, as illustrated on the right and discussed in detail during our March Investor Day, positions us well for the future. Importantly, these initiatives are largely within our control. As we continue to execute our strategy, we are confident in our ability to meet our goals, including radically reducing the cost base, building a more premium business portfolio and driving economic profit. This should deliver strong financial results, including sustainably higher EBITDA and create long-term value for our shareholders. Thank you for your attention. We look forward to your questions.
Operator: [Operator Instructions] The first comes from Ghansham Panjabi of Baird.
Ghansham Panjabi: Congrats on all the cost-out progress. I guess, first off, in terms of your volume assumptions for 2025, how does that break out by segment? I guess I'm just curious as to your confidence as it relates to being able to hit flat volumes and just given the uncertainty, et cetera, at this point?
John A. Haudrich: I can kick off on that one, Ghansham. Overall, if we take a look at our segments, as we indicated, we believe both Europe and the Americas will be generally stable year-over-year. So in the first half of the year, you saw a stronger Americas and a little bit softer Europe. We expect that to maybe kind of invert in the back half of the year, but it's only due to comps. Overall, what we're seeing over the course of the year is a generally stable environment with maybe the exceptions of some disruption due to the capital project that Gordon talked about as well as maybe some fluctuation we saw between the first and second quarter associated with tariff concerns or uncertainties and trying to buy ahead. Other than that, if you take out the noise of kind of prior year comps and things like that, you're looking at a pretty stable environment.
Ghansham Panjabi: Okay. Got it. And then my second question, as it relates to the Bowling Green plant, what exactly is that going to be pivoted towards? What is the time line associated with that? And what is the cash cost, just rough cash cost as it relates to making that transition at that point?
Gordon J. Hardie: Yes. So that facility is focused really on premium opportunities in spirits in the U.S. And we still see a big opportunity in that category in those segments of the market. So MAGMA was conceived to deliver against premium. And when we look at our best at both strategy and we look at the cost we feel we would need to be at to really grow significantly our premium volume and the capital intensity we required to deliver the target economic profit, that was the right call for us, and we see a path to being able to reconfigure that plant to get lower operational costs, lower capital intensity and to really grow the premium business in the U.S. We're working on that reconfiguration as we speak. And at the next earnings call, we'll give a further update on that, Ghansham. But that's our focus for that facility right now.
John A. Haudrich: On the cost side, Ghansham, that the facility does have invested capital around the superstructure around legacy assets and things like that, which obviously can be utilized in this. But I think it's a little early to be able to give any specifics there.
Gordon J. Hardie: Yes. But Ghansham, as we've laid out in the past, every project we undertake will have to be able to deliver a WACC plus 2 minimum return for us going forward.
John A. Haudrich: And one final point I want to reiterate that the outlook that we provided during IDay about the outlook for the business as well as the capital investment in the business still holds. We're going to fit this in within that. We're not going to change at this point in time our CapEx outlook for the business.
Operator: The next question comes from Arun Viswanathan of RBC.
Arun Shankar Viswanathan: Just wanted to ask about the Fit to Win benefits. So you were able to accelerate those from $61 million to $84 million in Q2. It looks like you are guiding to $250 million plus now and then $650 million plus in the long term. So maybe you can just frame the upside opportunity there, are you guys finding more as you peel back the layers a little bit more? And would those be mainly in SG&A? And I guess related to this point, the corporate costs were also a little bit lower this quarter at, I think, $25 million. Is that the new level of corporate that we should kind of consider? Or was there something unusual in there? Is that really reflective of those lower SG&A costs?
Gordon J. Hardie: Yes. Well, I'll take the first part of that question, Arun. As we've laid out over the last year or so, Fit to Win is designed to review the cost base of the business across the entire value chain from the back end of our suppliers right through to our customers' warehouse. And we've been systematically working through the value chain and peeling back where all the costs are, where the waste is, where the inefficiencies, what's driving that. And at every part of the chain, as we suspected and as our thesis held, there's opportunities to get more efficient and to strip out waste. That means us working differently with suppliers and with customers. And likewise, they're changing some of the ways we work, but we're making tremendous progress on that and have already signed a number of agreements with suppliers that drive much greater productivity and competitiveness for us. Within our own footprint, we shared the results of Toano on previous calls and made great progress there. And we are now in the first wave of 15 plants being rolled out. That's about 60%, 65% through that program for those plants. And we're on or exceeding the targets we had set. So very happy with how that is going. And then as we sit with customers and we look for ways to improve order forecast accuracy, logistics, warehousing, again, working through all of that and finding opportunities. So as we set out at the beginning, this is an end-to-end review of the cost base of the business and stripping out the waste and inefficiencies. And then reinvesting some of that back into the business or using that to be more competitive in the market, which we're already seeing signs of, particularly in the Americas.
John A. Haudrich: To build on that and to answer your other corporate question, Arun, if you look at Page 5, the outperformance that we're seeing really is in the Phase B area. To Gordon's point, we're already above our full year target for that area. And just building off of that and taking out those productivity and efficiency opportunities and actually jumping ahead of the actual full rollout of the TOE project is driving the upside opportunities that we're seeing across the business. And to that, the corporate levels, we would expect to be a reasonable range is $100 million to $120 million a year is a logical place for the corporate cost.
Arun Shankar Viswanathan: Great. And then if I could just ask a quick follow-up. So then -- as you look out into, I guess, the second half into next year, again, you're already at $145 million for the first half. So should we also assume that Fit to Win benefits should continue to grow? Or is the second half kind of -- have you already kind of gotten what you -- more than 50% of the year's benefits? Or do you still see continued sequential growth in those benefits?
John A. Haudrich: I think we'll see sequential growth. But keep in mind, in the fourth quarter, we will start to lap the early phases of the activities. And as you can see on the chart on Page 5, we had $25 million of benefits already in the fourth quarter. So while the core activity continues to drive momentum, there'll be a little bit of a comp element to the fourth quarter.
Christopher David Manuel: Yes.
Gordon J. Hardie: I would say culturally as well, Arun, we are relentless on waste and inefficiency coming out of the business. So even if we hit a number, there's no satisfaction in that. We drive on as long as there's waste and efficiency to be had, we're going after it.
Operator: The next question comes from Mike Roxland of Truist Securities.
Michael Andrew Roxland: Congrats on all the progress. Gordon, you mentioned that in your comments that shipments were weaker in July and you cited rephasing of order activity and delayed ramp-up at a configurated plant. Do you have any sense what your order books look like for August?
Gordon J. Hardie: Yes. Look, we have line of sight. I think the Americas are looking pretty strong, and we're seeing some comeback in places like Northern Europe and in the U.K. And as John mentioned, we see Europe probably stabilizing in the second half of the year. There is still significant consumer weakness in all of the regions, probably except for Latin America. But whether it's wine or beer in Europe, spirits in Europe still down compared to long-run averages in last year, driven spirits and say, wine is driven by the macroeconomic kind of trade issues. 85% of all scotch produce is exported, 65% of all French red wine is exported. So the two major markets of the U.S. and China are still not back to where they were historically. In the U.S., we see beer still sort of sluggish, even imported beer. So -- but yet, there are then pockets of growth in terms of nonalcoholic beverages, particularly waters and food is on the back of trends like anti-micro plastics performing very well in most markets. Latin America is performing very well for us, particularly food, nonalcoholic beverages, spirits coming back strongly in Mexico, beer quite resilient. And going back to kind of first principles that we laid out last July, we, over the next 2 years, predicated kind of flat volumes. As we deliver savings, we will share some of that with our strategic customers and ultimately drive the value over the next 2 years by getting a much better return on the volume we have and getting fitter. That then puts us in position, a very strong position as the turn comes and consumers come back to these categories. So our story over the next 2 years is not a volume story or per se. We predicate sort of flat volumes, but getting much, much more efficient and getting much higher returns on the volumes we have. And I think for us, our thesis is that value will be increased through getting better returns rather than chasing volume at lower margins and lower prices in markets that are -- where demand is sluggish.
Michael Andrew Roxland: That's very helpful. I appreciate all the color. And then just one quick follow-up. You mentioned the progress on TOE. If I heard you correctly, you said the first wave of 15 facilities has been meeting or exceeding your expectations and you're about 60% to 65% through those plants. Is there any more color you can provide around the progress, maybe some of the cost savings or the returns that you've generated thus far at those 15 facilities?
Gordon J. Hardie: Yes. Again, we -- the process is we go into those plants, and we understand, obviously, the cost base and what's driving the cost, where the waste is. And where your kind of top 5 issues or losses are and then working systematically through that. And everything we've seen in our pilots in Toano and indeed, the initial study we did way back in June '24 are coming to fruition. We have some tremendous talent in our plants. But with fresh set of eyes and some new thinking from other industries that I've worked in, we're seeing opportunities to drive very significant productivity improvements and run these plants in a much more effective, efficient manner. So I'm very happy with the alacrity with which our teams have taken on these new ways of working and going after the waste and across the fleet. So very happy with that, Mike.
Operator: The next question comes from George Staphos of Bank of America.
George Leon Staphos: Congratulations on the progress so far. I wanted to come back to MAGMA, not to necessarily do a postmortem on it and the wise and wears, but really to understand how glass fits in customers' mix. And so when MAGMA was talked about a few years ago, the notion was you'd be able to drop in smaller facilities, you'd be able to be more nimble, you'd be able to then get into customers' new product launches more quickly. At least that was part of the story as I recall, and correct me if I'm wrong on any of that. And for whatever reason, MAGMA is no longer being utilized. Is it that the process itself didn't really live up to your expectations? Is it that customers don't really look to glass for that sort of new product quick on the run type of product anymore or type of package or TOE and all that you're doing in the organization now gives you that agility that you thought you're going to get for MAGMA, but you don't need to spend the capital there. How would you have us think about that, what's happened here and why you don't need MAGMA anymore?
Gordon J. Hardie: Great. Thanks, George. So let me start with the customer piece. Consumers love glass, right? All things being equal, they'll choose glass. And I've been out -- I've met about 70 of our customers over the last year. And I would say, without exception, all of them want to put more glass into their portfolios for sustainability to help drive that premiumization trend that's still there as strong as ever. So glass is absolutely fundamental to the portfolios of all our major customers. And in fact, our NPD pipeline this year is up about 35%, which is a massive increase as our customers look to spur growth. So no question around glass in the portfolios in my mind with customers, and I've heard that firsthand so many times. With regard to MAGMA, yes, the idea was you could do maybe smaller batches of premium. But when I look at it, there are two aspects. Did the technology work? Yes, the technology works. But can it deliver the returns we require if we were looking at rolling out 10 or 12 or 15 of them? And what's the next best alternative? And as CEO, I feel two important aspects of my role is to want to face reality and to make good decisions around that. And secondly, is to really allocate our precious capital as effectively as possible. And when I look at -- and you're right, TOE and I look at the flexibility, I think TOE techniques can bring and also greater volumes at lower cost and lower capital intensity. For me, it was a clear decision. There is a better way for us to deliver on the -- what customers are looking for, which is continued premiumization, but they want premium products at an affordable cost, right? And we don't have small ambitions around premium, right? We have very big ambitions around premium, and I need higher volumes of premium than a MAGMA furnace could deliver. I think the way to do that is the path we have forward, which is the best of both model, which, by the way, we have a business in our portfolio that does exactly that and is making great returns, great margins and it's highly, highly flexible. So what we're embarking on is not new to world. It's there. We just need to get much, much better at it. And I'm confident now we're putting in place the operational capabilities to do so. So it's the correct decision for us. It's the correct decision for our customers, and it's the correct decision for our shareholders.
George Leon Staphos: For my second question, if possible, you talked about your current run rates and that things get a little bit better in August. Is there a way to parse the down mid-single digits across the regions? And then as we shift into the fourth quarter, you talked a little bit about why it's maybe now a lesser piece of your earnings cadence for the year. But can you give us a bit more color there? I know fourth quarters are small. The numbers can move around a lot. If we choose the midpoint versus one end of the range or the other in the range of the guidance, we can come up with different conclusions. But the fourth quarter seems a little bit weaker. And is any of it related to the volumes that we're seeing right now?
John A. Haudrich: George, I can jump in and take the second part of that to start with. The seasonality of our business is such that we earned about 60% to 65% of our EPS in the first half of the year and the remaining 35% to 40% in the back half of the year. That's consistent with the average in the last 5 years. And after exiting the ANZ business a few years ago, we are more levered to the Northern Hemisphere. And as a result, with our products being used in the summertime, the seasonality of that, we do have this tendency that we're -- that I just mentioned. But as we take a look at the fourth quarter guidance that we have this year, we are making in addition to the normal seasonality, we have made a provision in there in our outlook for potentially more temporary downtime. It is taking us a bit longer than originally anticipated to complete the restructuring and network optimization activities over in Europe. We're following all the rules and the processes accordingly, but it's just taking longer. And as a result, if this slips into next year, we will probably take more temporary downtime in the fourth quarter as we keep our system balanced until we can complete that. So that is a function of that. And also, I just want to highlight also is that our ETR tax rate is very sensitive to overall levels of earnings. And as the earnings are lower in the fourth quarter, especially with making the provision for the potential temporary downtime, we also end up with a disproportionately higher tax rate. So it just kind of swings things around a little bit more in the fourth quarter. So hopefully, that gives you the perspective you're looking for. But it has nothing to do with the trends in the business and the volume. It has more to do with the downtime and managing the network optimization.
Gordon J. Hardie: Yes. And maybe the first part of that, George, we -- if I do a quick run through maybe the segments or regions, beer in North America actually performed very strongly for us, and we outperformed the category as the core spirits, very, very strong momentum there. We see -- as seasonality kicks in, we see some of that come off for beer certainly. But brown spirits, particularly are weighted a bit more to the back half of the year. So we see probably continued momentum there. Wine is weak across the Board. I spent some time in California in the last couple of weeks. But the industry is looking at ways to figure out how to overcome that. And the lesson I heard from people there is, hey, the wine industry has overcome many setbacks over the last 50 years, and there was a sort of a confidence there I picked up. But no doubt wine has been weak in Q2. NAB, waters are going really well for us in North America, and we see that continuing. And we probably see food kind of soft in Q2, but picking up in Q3 and Q4, particularly towards the holidays. Europe, beer, particularly in Central Europe down, wine down and spirits down. And I think that's just a common picture, as I mentioned. But food and nonalcoholic beverages, very, very strong for us. We probably see spirits coming back a bit in the second half. And white wine is doing better than red wine for sure. Other than that, Andean performing very strong for us. Brazil doing very well for us, up 3%, 4% in Q2. Order book is very, very strong there. And the big surprise for us was in Mexico, where beer actually has stabilized, particularly in the domestic market and tequilas have rebounded remarkably well as the tequila industry figures out other markets besides the U.S. So Southwest Europe, impacted by red wine, particularly but foods going strongly and nonalcoholic beverages. And we also see some upside in the back half of the year in the U.K. So that's sort of a run around the business, George. I hope that gives you a bit of color.
Operator: The next question comes from Anthony Pettinari of Citi.
Bryan Nicholas Burgmeier: This is Bryan Burgmeier sitting in for Anthony. Just maybe on net price. I noticed you're expecting a little bit less of a headwind now than originally. I think you raised the range by about $25 million. Maybe just what kind of drove that? Do you feel like prices for the second half are maybe locked in now? Do you have kind of line of sight to that? And just maybe generally, how do you feel about sort of European operating rates at this point?
John A. Haudrich: Yes, sure. Brian, thanks for the question. When we take a look at the drivers for net price, as we had entered in the year, we had a higher expectation of that pressure point. It's obviously moderated. I think the net price pressure for the first half of the year is about $70 million, and we're thinking right now, it might be $100 million to $125 million down from our previous expectations. Really, really, there are two factors going on is that inflation has moderated probably more so than we expected. Energy prices have moderated. So that is definitely one of the drivers. And then we have seen probably reasonably stable net pricing and gross pricing in the business. If you take a look at our business year-to-date, our sales volumes are up about 1%, but gross price is down about 1%, right? So it's not really fluctuating that much in the grand scheme of things. We thought it might be under a little bit more pressure. So it's really kind of both levers moving. And I would say like if we take a look at the back half of the year, most of the year-over-year pressure point has been incurred in the first half with a little bit still dribbling into the back half.
Bryan Nicholas Burgmeier: Got it. Got it. Appreciate that detail. And then maybe just sort of broadly from a high level, do you think that the U.S., EU trade deal kind of coming together this week provides maybe a level of clarity for customers that you and they have been looking for to maybe get orders kind of going again? Or do you think maybe the industry needs time to sort of digest this and adjust to the tariffs? Just anything you can kind of share on maybe if a trade deal changes anything for you and your customers in 3Q and in the second half?
Gordon J. Hardie: Yes. Look, any certainty is a good thing. There's been so much uncertainty and customers trying to figure out do they need to ship bottling operations to different regions and so on. And so no decisions in the industry that I've seen have been made around this. So anything that brings certainty is a good thing, then people can plan around that, and we can work with customers accordingly. The headline number is 15% on everything coming into the U.S., but I still understand some commentary that it's still not fear on where wine and spirits sit and all of that. And whether that potentially is 0 for 0 or whether it's 15%. So there's still not full clarity on that, I would say. So the faster we get to that, the better, and then we can work with customers accordingly. So the more certainty, the better it is, I would say.
Operator: The next question is from Josh Spector of UBS.
Anojja Aditi Shah: It's Anojja Shah sitting in for Josh. I just wanted to go back to MAGMA quickly. Are there any cost savings associated with this decision that maybe weren't dialed in before, but do need to be added now?
John A. Haudrich: I'd say the primary -- first, thanks for the question. I'd say the primary savings is that we are overall reducing our D&E cost to the business. It's all part of our SG&A savings initiative. So I think from an operational standpoint, obviously, we're ceasing the operations and that there was a minor loss associated with this, but I don't think it's a material aspect to the business for the Bowling Green element. I think the bigger element is the reduced SG&A cost that's embedded in our SG&A savings targets.
Anojja Aditi Shah: Okay. And based on your comments on inventory earlier in the prepared comments, and I think your prior guidance for working capital and free cash flow was flat. It sounds like now you'd expect working capital to be a benefit to free cash flow this year. Can you just tell me what you're expecting in your guidance?
John A. Haudrich: Yes, that's correct. Earlier in the year, we thought that working capital will probably be a minor factor. And the -- where we stand right now is something like up to $50 million working capital benefit this year, kind of $0 to $50 million as we do better on the inventory. On the offset to that, we are having more restructuring costs that's probably going to be in the higher end. We updated that guidance range. We also increased the estimate for interest expense given where the forward curve has changed to. So overall, we think the free cash flow outlook that we had at the beginning of the year is still relatively consistent. Obviously, FX plays into this equation with a lot of moving pieces. But I also want to kind of reiterate, we're really focused on free cash flow and with a $300 million year-over-year improvement despite, call it, $140 million to $150 million of restructuring charges is a major swing, major improvement in the performance of the business. And certainly, we look to drive that as we go to our IDay targets of moving up to 5% of sales and ultimately up to 7% of sales over the next few years.
Operator: The next question comes from Francisco Ruiz of BNP Paribas.
Francisco Ruiz: I have two questions, if I may. The first one is if you could update us on how the negotiations with French authorities are on the restructuring you proposed a couple of months ago. And also a follow-up on this is that what else is missing in terms of restructuring or closing facilities in order to get to your phase A savings on Fit to Win? The second question is if you could help me to understand what is the bridge between your Fit to Win benefits and the rest of the cost at operating costs apart from the central cost. I mean there is a gap of $20 million, $30 million this quarter. So what is this coming from?
Gordon J. Hardie: Francisco, let me take the first question. So we're engaged with our European works councils and our local works councils, and we're working through the process of consultation and listening to ideas and as we move through to getting agreement on how we reconfigure the network to be as competitive as we can be in France. We see France as a very important market in our business, and we have plans to invest quite heavily in France, but we need the right network. And those discussions are progressing to plan. As you know, there's a process you work through the process, and we're committed to doing that fairly and squarely with our colleagues. So nothing more to add there other than it's going to plan in terms of timing of discussions.
John A. Haudrich: And Francisco, this is John. I'll address the other two questions you have as far as kind of where do we stand in the whole network optimization process and kind of what is left. So we've announced so far about a total of 10 percentage point reduction in global capacity, of which, as we stand here right now, maybe 5% or a little bit more is actually physically closed. The other component has to do with remaining elements that have been announced. One is what we just referenced in France and the other one is what we just kind of referenced earlier today, I mean, last night in the Americas. That is what will be conducted over the next couple of quarters. And then that would be a completion of where we stand on the announced level of capacity restructuring. We would still then have a little bit a couple of percentage points of excess capacity, but we're going to monitor and see where the market trends go and see ultimately determine, hopefully, we can grow into that and we'll have to determine whether additional decisions are required. And then your last question is kind of -- so if Fit to Win was $84 million, where is the other cost movements? What I would point you to is on Page 6 of our materials, there's actually a little chart in there that has the cost breakdown. And as you can see with that, operating costs were favorable, $31 million, $63 million of that was Fit to Win in the operating line, but we did have $27 million of temporary curtailments that is, as we referenced, the continued downtime until we're able to get these permanent restructuring actions actually completed. Those are the major movers. And you take a look on the corporate side, if you add up the whole thing, we have $84 million of Fit-to-Win you got the temporary curtailments, you'll see an offset in corporate. A lot of that has to do with resetting management and census, which were 0 last year. So take a look at that, that provides you the details I think you're looking for.
Operator: The next question comes from Gabrial Hajde from Wells Fargo Securities.
Gabrial Shane Hajde: I joined a few minutes late. But I was curious if, John, you could kind of help us with the increase in the guidance range, $15 million. And I think to your point, you talked about price cost being actually a little bit more favorable, maybe by $25 million, if I pick midpoints. And then FX, I think, is maybe a $25 million to $30 million tailwind as well. Volumes up 1% through the first half. We're sort of still targeting flattish, which I guess would suggest down 1% in the back half. You already gave us some color on the mix, Americas versus Europe. And it seems like your Fit to Win and cost-outs are kind of running ahead of expectations. So is there something else that we're missing? I don't want to talk to the upper end of the range. I'm just trying to understand if there are any other puts and takes in our logic there?
John A. Haudrich: Yes, yes. So Gabe, I mean, the drivers that we have and maybe just thinking what are the factors that would drive you to the upper end of the range? Obviously, you got the FX, as you referenced, net price is better. Fit to Win probably has upside opportunities. And then the flip side that we have is interest expense will be higher because of the rates haven't changed. And then you also have -- and I'm sure you heard this, but we are making a provision later in the year for more temporary downtime in the event that we have the timing of, in particular, the European restructuring activity may kick into early part of next year. Those are the major factors. And anything in the variance between the high end of the range, midpoint, low end has probably to do more with macroeconomic trends and things like that, that we're just trying to make a general range for.
Gabrial Shane Hajde: Okay. And then the follow-up question, I've seen a few announcements here in the past month or so, Heineken being one of them, I think talking about building a pretty meaningful new brewery in Yucatan and maybe some reorienting, Gordon, you alluded to some of their bottling if that were to occur. And then in North America, there was an announcement on reformulation for Coca-Cola. I'd be curious if there's been any sort of early discussions or if you can talk about maybe the opportunity for beer in Mexico on new facilities coming into. I think Heineken is bringing one online in 2026 and then this new big facility will be operational in '28.
Gordon J. Hardie: Yes. Look, Gabe, we're talking to customers all the time, and I'm spending 20%, 25% of my time out with customers discussing what the opportunities and pain points are. And if you look at the dynamics of Mexico, I think over the medium, long term, it's a tremendous market for beer. We've got a fabulous suite of assets down there, and we're going to make sure we're in position to take the opportunities as they come. Products taste better in glass, what can I say? So whatever customers want to make more of their products in North American glass, we're with some of the efficiencies and on trapped capacity that we're finding in TOE, we'll be ready and willing to support anybody that wants to launch products -- in more products in glass as we move forward.
Operator: We currently have no further questions. So I'll hand back to Chris for any closing remarks.
Christopher David Manuel: Thanks, Lucy. That concludes our earnings conference call. Please note that our third quarter call is presently scheduled for Wednesday, November 5. And remember, make it a memorable moment by choosing safe, sustainable glass. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.